Grant Howard: All right. Let's get started. Good morning. Good afternoon to those who are participating in this Webinar. Thank you for that. With us this morning is Jeff Kendrick, who is the President and CEO of CEMATRIX. Randy Boomhour, who is the Chief Financial Officer. We're going through the second quarter results today. And, I'm sure there'll be a number of questions as well after the formal presentation and just in regards to that at the bottom of screen is a little feature Q&A, please submit any questions through that feature. And with that, I'm going to turn it over to Jeff and Randy.
Jeff Kendrick: Thanks Grant. As always, it's a pleasure to participate in these webcasts with you. Randy, and I wanted to thank you for participating in the second quarter webcast. We're going to start it off with a short overview of the past quarter and how the company is going. And then, I'll pass it off to Randy to go over the financial results for the second quarter ended June 30th 2023. So, just the areas that I want to cover today, we're going to look at an update of the 2023 highlights, mainly based on that management perspectives. We're going to talk about our confidence, how that is continuing to grow and why. We're going to talk about the unique position that we announced through that management perspectives back in March. We've grown from 11 projects over a $1 million to 14 projects over a $1 million now. We're doing to continue to about our 2023 record breaking sales and where we're heading. Then we'll talk a bit about more about the backlog and sales pipeline. We'll go over the one single project in that $1 million club that started this past quarter. Again, just to remind everybody that we are a seasonal business and that most of our work, does occur in the third and fourth quarters. But we've had a very good first two quarters as well. Then, we'll talk a little bit about the three new project additions, through that $1 million. So, again, we've gone from 11 to 14. And I think one thing that we shouldn't lose sight of too as well, we've already got a strong 2004 already skirting in place and growing every day. And then as mentioned earlier, I will pass it on to Randy and he will briefly go over the Q2 financials. And of course, we'll end the webcast with a question-and-answer session that Grant will manage for us. So, first, let's talk about the 2023 highlights. I mentioned the confidence in 2023 continues to grow, the unique position that we're in with the 14 large projects over $1 million. We're going to talk about record sales, a margin rebound continues. We're forecasting a return to profitability this year, continue to have a strong backlog, even though we keep drawing projects out of that backlog. And one of the big things I think that's important for CEMATRIX that we've had no supply issues to date and we don't expect any for the balance of the year as well. So, why is our confidence growing? Well, we've been confident all year long, but as mentioned in our last news release, we already have scheduled for 2023 $39.9 million in contracts. And 90% of that backlog at that time was already contracted. The rest were contracts in process. Sales for the first two quarters are already 47% ahead of last year, and they were record sales last year. So, you can imagine where we're heading again, if you take 40 -- not that we will achieve 47% on the $29 million that we achieved last year, but it's going to be a very strong year. And even if some of the $39.9 million does get delayed, which always happens, we should be replacing that with other projects as we go through the balance of the year. Sales opportunities across North America in 2020 continue to grow. We're working on many projects, not only for the current year, but future years as well. And then as mentioned in the last slide, no cement supply issues, which is what killed us last year from both the supplies perspective and a margin perspective. So, this unique position, again, a reminder, now 14 projects over $1 million as a minimum, $27.6 million of the sales that are forecast of that $39.9 million were late to these projects. That's versus seven projects last year for a total of $15.5 million. So, again, not only have we grown in numbers, but also in size and volume. We have $39.9 million scheduled for placement in 2023, and that's 36.2% ahead of 2022. And then, of course, we expect to land more projects through the year. It's still only mid-August, and there's a lot of projects that are in the process of being contracted at this point. Million dollar project locations, they're essentially right across North America and some into Canada as well. These 14 projects or anything from tunnel grouting, runway bases, backfill of overpass abutments and MSC panels, debasement backfill, protecting geothermal installations, walking paths, pipe bedding, anything. There's just so many numerous applications for cellular concrete, and that market continues to grow every day. Record-breaking sales continue. So, we had a record $13.2 million on the first two quarters. We have a record $33.2 million in sales if we look at the last four quarters by themselves. We've already contracted $27.2 million in sales since the end of the year, and $64.2 million since August 3rd, 2022. And that's important because most of those contracts have not been completed yet. They will be completed in 2023 and some in 2024 as well. Record backlog in sales pipeline, backlog is up to $99.4 million, and it doesn't matter how many sales we continue to draw out of it, it continues to grow. Now it's going to be hard-pressed to continue to be up in the $99 million range for the next two quarters because we're going to be doing a significant amount of sales in Q3 and Q4. But what's important to know is the sales pipeline, which is essentially the market itself and where we draw these projects out of, is now up over $460 million. So, it doesn't matter how many projects we ourselves and our competitors may be drawing out of that pipeline, it still continues to grow as well. I just want to talk a little bit about the one project that we started in the second quarter that was in that $1 million range. This is a tunnel in the central U.S., it's a 1,100-yard tunnel, and it's for it to carry a sewer line, a new sewer line in the Midwest. Now our job here is to manage the grouting of the project, and this project itself has 62,000 cubic yards of cellular concrete, and it started in June and is expected to be completed before the end of the year. As mentioned, we've also added three new million-dollar projects to come to a total of 14. One's a $3.9 million MSC panel backfill project in the central Midwest. Project two is a $1.2 million MSC panel backfill, and project three is a $1.5 million pipe bedding project. Again, various applications throughout North America, and again, the number of projects just continues to grow for CEMATRIX. What's important as well is that, we talk about how good 2023 is going to be based on what we have in place to date and what is scheduled to go on the ground, but we also have a strong 2024 already in place. So, $72.8 million of that $99.9 million backlog relates to 2024. It's also important to note that the 14 projects that a million-dollar project is starting this year, they total $51.8 million, so $25.6 million of that amount actually relates to 2024 and beyond. The company also has a further three projects in that million-dollar club over that actually are completely scheduled to go into 2024 and beyond, so the total of the million-dollar projects is actually 17. And then we expect to continue to secure more projects, not only for this year, but for next year and years beyond as well as the year continues. So essentially, that's CEMATRIX update for you. I'll now pass it on to Randy to go over the financial results for the quarter ended and the six months ended June 30th, 2023.
Randy Boomhour: Thank you, Jeff. Appreciate that. If you could flip to the next slide for me, that would be great. So, this slide basically is just quick snapshots of our financial statements from our publicly disclosed financials. I won't review these in detail because they're available, but essentially the main themes are revenue continues to grow, gross margin is improving, and we've dramatically simplified and delevered the balance sheet. Next slide, please, Jeff. When we look at our key financial metrics that we follow from the business, every one of these metrics is improving. So, if we look at revenue on a quarter and year-to-date basis, both of them are up almost 50% or over 50%. Gross margins showing significant improvement in the quarter and on a year-to-date basis. As a result of the improved gross margins, our SG&A costs are pretty close to flat, our operating losses have narrowed, and we are much closer to profitability with significant improvement again in the quarter and the year-to-date. As a result of increased revenue and gross margin, adjusted EBITDA is also significantly improved and we are getting much closer to positive EBITDA. Because of the improvements in revenue and gross margin, cash flow from operations also showing significant improvement. Our expectation is with the strong Q3 and Q4 that we have forecasted, both adjusted EBITDA and cash flow from operations will become positive. Cash on hand at the end of June 30th is $3.5 million. So our balance sheet is strong, and we're in a good position to fund operations and ensure our survivability for the foreseeable future. Next slide, please, Jeff. One of the things that we like to highlight is the seasonality of the business and then the growth that's occurring in revenue. So, in this first chart here in the upper left, you can see our revenue by quarter and you can see through the illustration, it's very clear that the revenue is highest in the third and fourth quarter. And we're expecting both this third quarter and this fourth quarter to be records compared to the previous. The next chart that really relates to our balance sheet there on the top right is just showing how we've reduced the borrowings and the debt in the company from what was quite a high level as we were finishing two significant acquisitions. We have over time delevered the balance sheet and de-risked the company, increasing third-party interest costs and also setting up the company for a future acquisition should we find one that makes sense. And lastly, at the bottom chart there, it just goes again to show how we've simplified the capital structure from where it was at the end of 2022 to where it is now in terms of many of the dilutive instruments that used to be outstanding have now either been paid, converted or expired. So our capital structure is now quite simply just the shares outstanding, plus equity incentives that related to stock options that are outstanding. And I believe, Jeff, that was the final slide in the financial section covering the kind of key things that we wanted to talk about. So, I think we'll hand it over to Grant for the Q&A.
Jeff Kendrick: Thanks Randy.
Q - Grant Howard: All right. Thank you, gentlemen. We have some questions that have already come in, but just before I get to that, Randy talked about deleveraging the balance sheet. Can you provide a little more quantification or perspective on, let's say, compared to a year ago, how much money the company is saving or not paying out in interest or whatever as compared to today?
Randy Boomhour: Sure. Yeah. That's a good question, Grant, and I apologize I didn't communicate that better. But if you were to look at our cash interest costs at the end of 2020, for example, so three years ago, just before COVID, our cash interest costs are about $1.5 million annually. If we look towards our forecast for 2024, our cash interest costs are forecast to be something like $250,000. There's a bit of sensitivity to interest rates, but essentially $250,000. So, you're looking at a cash interest savings annually of almost $1.25 million, so very, very significant.
Grant Howard: Excellent. Okay. Jeff, if you could take the presentation down, please, and then we get a better look at all your beaming faces, and then I'll get into the questions. Great. Thanks. We've got a couple here from Barry Hames [ph]. First one was, compared to the 18% gross margin you had in the second quarter, what gross margins are embedded in the backlog for the second half of this year?
Jeff Kendrick: The gross margins, of course, in the first two quarters are always generally very low because it is the off-season for us, and we have significant fixed costs that we have to cover. So if you look year-over-year, and as Randy was speaking to there, is that the growth is quite significant, and that is all related to volume of sales and better pricing on those projects. So, if you just look ahead to, again, I mentioned that we have $39.9 million scheduled to go. If all of that went, then that's going to provide greater coverage for those fixed costs, and those margins will go up significantly. Where they end up for the end of the year is difficult to say, but we expect to be in the 20% to 25% range, probably closer to the 25% if we do hit the $39.9 million-plus in volume of sales.
Grant Howard: And the other part here is whether or not you are seeing any dollars coming in yet from the U.S. infrastructure bill?
Jeff Kendrick: It's always a great question, and it's funny. No. And it's scary. I don't know where that money is going, and according to our cement suppliers too as well, it's not going in the infrastructure area, at least not at this point in time, or at least not anything that they are working on. So it's not just us that's not seeing any of that infrastructure bill yet.
Grant Howard: Okay. There's a series of questions here about profitability, and maybe I'll just run through them and they can all be answered in and around the same time. There's one, do you expect to be profitable in Q3, and what are the main reasons that would lead you to become profitable is one. Well, let's start with that for the Q3 question.
Jeff Kendrick: Well, it's all going to be based on the sales that we complete during the quarter. So, you can imagine if you take the second quarter -- well, let's just talk about the first and second quarter, and let's say we do the same amount in sales in one quarter and have the same amount of expenses, and the margins are going up because your fixed costs are covered. We're looking at profitability for the third quarter, and maybe profitable year-to-date as well by the end of the third quarter, which will generate positive EBITDA, positive cash flow that Randy was mentioning.
Grant Howard: In and around the same topic from Dick Wozniak and Anonymous [ph] here, when do you expect to have a year of positive earnings after taxes, and at what quarterly revenue level do you expect profitability?
Jeff Kendrick: We expect to be profitable this year, okay? That based on what we have in place, and if it all goes according to schedule and the margins that we should achieve on those projects, we should be profitable this year. And for the foreseeable future too as well, except for those, again, off-season quarters, which are typically the first and second quarters of the year. Second question was again, sorry.
Grant Howard: It was talking about the year and what has to lead up to profitability, but you've addressed it. If you get to your targets, the margins go up 20%-plus, you are going to be profitable. So that has been answered.
Jeff Kendrick: And I think it was quarterly revenue or monthly revenue that they were asking for. So, we breakeven around the $30 million range, depending on what the margins and depending on what the make of the projects are made. So if you divide the 30 by 4, you end up at generally at this margin level, where we would be from a breakeven level.
Grant Howard: A bit of a two-parter here. Can you please remind us how you define sales pipeline versus backlog, and what is your historical conversion from pipeline to backlog?
Jeff Kendrick: So, pipeline are the projects that come out on a daily basis for use of cellular concrete. So, they could be anywhere from shell utility installation to grouting abandonments, to large tunnels, to large road and bridge projects. Okay? So, they are what we draw from. So, what we're bidding on, quoting on, and helping design in a lot of cases with the engineers. So that's where we're drawing our backlog from. Our backlog is the projects that we have contracted or have contracts in process. And really contracts in process are those tunnel jobs, because essentially they've been awarded to us by an LOI or something more. But we usually don't finalize the contract till closer to when the tunnels actually go forward, because they have to dig the tunnel. And digging the tunnel, lots of things can happen, which could create a change in volume, change in the type of material that has to be used. If there's more water or less water in the tunnel, it has to be controlled, may have to use a heavier density product. So that's why the contracting of those doesn't come till later, but they are our projects. So, the conversion of those projects in process or contracts in process is essentially 100%. Now the conversion of the sales pipeline to backlog is in Canada generally 40% to 50% we've been seeing. In the U.S., there's more competition and it varies by region, but let's just say it's 20% to -- probably 15% to 30%, depending on the region and where you are and what type of application.
Grant Howard: From Barry Hames again, how much of your cost structure is fixed versus variable?
Jeff Kendrick: I don't think I know the numbers off hand. I can pass it on to you, Randy. Do you have an idea of what that may be?
Randy Boomhour: I'm not sure how to answer that, because it changes quite a bit, right, and depends on the revenue. I think the more helpful information is where is our breakeven revenue, right? And we estimate that to be around $30 million. So if we're north of $30 million, we should be making money.
Jeff Kendrick: Yeah. And once you get to that breakeven level, which is important, is that you start -- all the money starts to go to the bottom line because your fixed costs are covered, right? So that's why the margin percentage goes up quite significantly in the second and third -- or the third and fourth quarters.
Grant Howard: And from Dick Wozniak again, what can you do to increase revenue in Q1 and Q2? Obviously, there's weather related issues. Somehow, can you spark more work out of the southern U.S.?
Jeff Kendrick: We are, and we talked about regional expansion, and we've been bidding on more and more projects down in the south. So, we should start to see some changes to that over the next few years as we land more and more projects in the southern U.S. And it also is dependent on when our big tunnel and other projects go. For example, if there's a lot of tunnels, they don't really worry about whether we're pouring underground. So we can do them in Canada. We can do them anywhere in the northern U.S. And then also the North Carolina project plays a part in this. I never talked about that today, but last quarter, I announced that it was delayed again. Well, it's even more delayed. So, it's now all going in 2024, except for a small portion. Now, the interesting thing about that is that at the beginning of the year, our forecast had US$8 million from that project. And it's essentially all been delayed. But our sales have been going so well that it's all been replaced with new projects for the current year, for the most part. And so, if the North Carolina project starts in the fall, it should go all year next year. So, there's a potential for strong sales in this first and second quarter next year, which would be unusual, but it'll be great for the company too as well.
Grant Howard: David R., from the sales perspective, are you seeing greater interest and awareness in your product from the project engineers?
Jeff Kendrick: Absolutely. It's just incredible what is happening really in the background. And if you look at our backlog, it's actually grown by 40% since the end of last year, which that is basically organic growth in that market. So that pipeline and backlog just continues to grow quite significantly.  The good news too is, and we'll keep our fingers crossed here, I'm not really a believer in that sort of thing, but it looks like the Ontario market is starting to develop for us as well. It takes a long time to get approval there. We've done a number of projects. They've now been in the ground for a number of years. And we're very hopeful that over the next couple of years, we'll see that market just start to grow quite dramatically. And that is a big market for us in Canada. The U.S. market just continues to grow on its own.
Grant Howard: Jeff, since you brought up Canada, there is a question here about how does the Canadian market look? Are you seeing signs of improvement?
Jeff Kendrick: Well, Western Canada, where we started, is growing dramatically. We have -- basically, most of our sales comes from Western Canada right now because it takes a long time to get the Ontario approvals that you need. It's one thing to get the approval, which we have back in 2013. Then you put the product in the ground. It's got to sit there for five years to prove it out. And then they start specifying you into projects. So, Canada is going well, considering we're probably working on only about one quarter of the total market right now. The major markets in Eastern Canada have not developed for us yet. But look, there are strong signs that that's about to happen.
Grant Howard: From our friend Bob McWhirter [ph], what's the total amount of your tax loss carried forward to shelter future earnings?
Jeff Kendrick: Good question, Bob. I'll pass it on to Randy.
Randy Boomhour: Yeah. I wish I knew that number off the top of my head, Bob, but I don't. I will say that that number is significant in Canada. But in the U.S., where we have a stronger history of profitability and shorter ownership period of our acquisitions, there is no real significant tax loss carried forward to shelter.
Grant Howard: Another one from Anonymous. Dealing with the Canadian economy, if we get into a recessionary period, how much could that potentially impact the company's profitability?
Jeff Kendrick: History has shown that governments pour money into infrastructure during periods of recession. So, we don't expect to have much of an effect, if not at all. In fact, it may be a positive effect if we go into recession. And this is not just CEMATRIX Canada by itself, but history of the companies we acquired out of the U.S., their experience is that during recessionary periods, they've done very well. So, we expect the same to continue.
Grant Howard: From Mr. McWhirter again, and he is a numbers guy. With $72.8 million of the backlog expected to be realized in 2024, that would be $43 million above your breakeven level of $30 million in sales. $43 million at 25% gross margin, that's $10.75 million of EBITDA. Is this a reasonable guesstimate for 2024?
Jeff Kendrick: Well, part of the $72.8 million relates to 2025. I don't have the exact numbers in front of me. There is the potential that most of it will go. But again, projects get delayed. So, if everything went according to plan, Bob, that's what would happen. But it's unlikely that all of the projects will go into the ground as scheduled. There are always delays. We will grow. And yes, we will be generating significant EBITDA in the very near future. And it's a very good question. And I'm glad you're a numbers guy, Bob, because you helped tell the story.
Grant Howard: I'm sure Bob is rapidly calculating multiples right now to do his own estimate of what the stock could get to if you do hit those numbers. Barry Hames again. What is your annual capacity in terms of sales?
Jeff Kendrick: Our annual capacity is well in excess of US$200 million. That's seasonally adjusted based on all of the equipment that we have in place or being finished. And so, we're in a very good position from an equipment perspective. And of course, as the years go by, we continue to beef up the stopping side too. I mean, we've been very fortunate as a company to have a high retainage of staff, skilled staff. We kept them on board during COVID when things were slow. And because of that, we have a strong group of people going forward that we can divide into several different groups to be pouring products. So, we're in a very good position from a capacity perspective moving forward.
Grant Howard: Barry Hames again. Could you give us an update on -- he said gravel, I think he means gavel, but...
Jeff Kendrick: Glavel? Yes, I mean, Glavel is a private company, so I can't say a lot, right? So it's -- but what I can say is that they've had supply chain issues just like everyone else. Their market is growing dramatically, but part of the supply chain was the delivery of the second kiln, which is still not taking place. And so, although, their building component sales portion of it is growing quite significantly, they're unable to sell into the infrastructure market yet, which is really the big market. So their competitor, Aero out of North Carolina or Pennsylvania, North Carolina, they are actually benefiting from that continued growth in that market. And we see that growth on a daily basis because that infrastructure market is our market. And our intention was originally to be bidding on projects using Glavel product, but we can't do that yet until that second kiln gets delivered in place and ready to go. So, we're still their partner, but we're only a 20% shareholder. They're looking at possibly, again, I'll just leave it at that because it's a private business. I won't say anything more than that at this point.
Grant Howard: As the company is projected to enter profitability, how will the extra cash flows be used, dividends, or invested back into the company?
Jeff Kendrick: They'll be invested back in the company in the short term. And we want to put ourselves in a position to be able to look at future acquisitions in our space and more regional expansion in the southern and southwest U.S. And that will be our goal and objective. We have the equipment in place to do that. And we are starting to bid into that area. No expected dividends in the short term. And we're hoping, again, with what's going to be happening over the next couple of years that our share price will start to reflect the actual value of the company. And that we'll be able to use that to go back to market, potentially in the future to raise capital to look at future acquisitions.
Grant Howard: We're back on Glavel for a second, I believe. A question about a projected date for delivery of the second kiln.
Jeff Kendrick: They're hoping to have it in place by next year. It's being manufactured or it's nearing completion. And they're hoping to have it in place for production sometime early in the New Year.
Grant Howard: And a question about research and development. If you're doing it internally, or what new sectors might you be making acquisitions in the mid to long-term future?
Jeff Kendrick: R&D is an ongoing. We've been part of a couple of large R&D projects. One with the University of Waterloo, another one with the University of Kansas. We're also always doing internal R&D on different types of materials, foaming agents, additives, and things like that. And acquisitions would be in, as Randy likes to say, not more than one or two steps out. Meaning it's in our, basically, the current business area that we're in. So, it would be a construction-related product that would be more environmentally friendly. Those are the things that we like to look at as we continue to grow our business. And basically, only opportunities are going to add value to our shareholders.
Grant Howard: Talking about acquisition, the question here, you would be using your equity being additional shares to fuel that acquisition. I guess the answer sort of depends on a lot of different factors.
Jeff Kendrick: It does. And again, we basically put a hold on acquisitions for the past year because our share price is trading so low, and we'd like to use shares as part of that acquisition opportunity. And so now, we're hoping again, and our job this year and for future is just execution. We have the sales growing. We have the market growing. If we execute and we start making money in positive EBITDA, our share price should go up, and then we'll be able to use it for acquisitions.
Grant Howard: Are material costs expected to decrease as there is less supply chain issues to deal with?
Jeff Kendrick: I would love that that would be the situation. But cement companies, once they raise their prices, don't tend to reduce them. They take advantage of the situations and move prices up, as just about everybody in the market has done, including ourselves. So, you will see sales dollars going up because prices have generally gone up. But I don't see the price of things coming down in our market. Cement is the biggest cost of the material that we use. Over 60% of the cost of our material is cement. And I honestly don't see it coming down, although it has happened in the past. In recessions, certainly Pat Stevens, who is the President of the Pacific International Growth that we acquired out of Bellingham, Washington a few years back, he has said that the price of cement has come down during a recession. So, I've yet to see it yet. And I don't expect it, but there is a possibility.
Grant Howard: And from Bob McWhirter again, ground-up glass has been used in concrete to reduce costs. Have you done any tests to see if your cellular concrete could be made with ground-up glass?
Jeff Kendrick: We have. And yes, it does make a stronger material, but it's not readily available in the marketplace today yet. So, it's kind of the same thing with different other materials. If they're not supplied to us through a cement company or some other form that we can use in our business, we're unable to use it to make a part of our material. But there's a lot of different materials that we could use if they were readily available and generally available through the cement companies would add them to their product.
Grant Howard: All right. And there's several questions here about what the company, Howard Group, others are doing to bring more market awareness. So, I'll start with us. I'm sure everybody would appreciate that the more you grow your audience, the greater the number of eyeballs on the story. When it reaches a point that it becomes more attractive to, let's say, the investing public, that you are going to have more participation. So, on the basis of the terrific progress that CEMATRIX has made and is expected to make through the remainder of this year and through 2024, there has been a more aggressive online program directed to retail investors that kicked off a few months ago, as well as social media, but it's very retail investor-focused. In just a very short period of time, we'll call it the contact list for CEMATRIX, which was stuck at around 1,000 people for a number of years. These are people who had previously registered, meetings held with individuals, whoever it may be. As a result of this online program, just in the matter of a few months, that number has jumped to well over 3,000 people. Do you expect everybody to react immediately and start buying stock? No. We know from history that only a small percentage will initially dive in. What you have to do is create a larger and larger audience, and as the company delivers better and better financial results and expectations are met, you are going to create a level of momentum. You can't just expect more and more communication. Somehow, that creates this magic event. I could read you something from a billion-dollar-plus Canadian fund here recently where they have one micro-cap fund and they stated in their monthly report that it is the worst market for junior stocks that they've ever seen in all of their history. That aside, the intent here is to continue to grow that audience. You are going to start to see updates from the project sites so that people can get the feeling, wow, these folks really are making the progress that they've been telling us about. And then the company, as it delivers on its quarterly results, as the company provides more and more updates, you create this level of comfort. So, it is a building process, but I can tell you that the registered -- these are people have taken the time to give us their contact information based on what we're doing online. As we all know we're reluctant to provide that information. They see enough there that they're giving us their data. And we'll feed that audience, but you've got to make as big an audience as you can. Randy, Jeff, do you want to add anything to that?
Jeff Kendrick: I'd like to tie that in. What you said, Grant, is exactly right, and we tied it to what we're doing. So, the market was so bad, there wasn't really a lot of sense in spending a lot of money trying to attract new investors when the market is so bad. But we knew that the big part that CEMATRIX had to do was achieve and execute. So that's our job. In 2023 and beyond, we're going to execute. We're going to see significant growth in sales. We're going to see a return to profitability. We're going to see generating positive EBITDA. And that, combined with what we have -- what we're doing from an IR perspective, both the digital marketing campaign that we're working on through our group and our work with the Bristol group as well, that will start generating more and more interest in what we're doing. All we can do is communicate right now and bring interest, but it's the achieving of those results that's going to result in a change in the way people look at CEMATRIX. And so that's where we're heading. And -- although it's been a little bit quiet over the past year with change in -- past few years with the changes in COVID and the virtual reality shows and presentations, our job now as we're coming out of that is really to execute and become profitable. And we will see how the share price go along with the interest from the shareholders out there that we're generating through this digital marketing campaign and other things that we're doing.
Grant Howard: Okay. And then we're going to wrap up with a question from Jay Wiles, and part of it's already been answered. He was asking about videos from project sites that has been addressed. You're going to start seeing that now. And if it's possible to update the website with videos to show current projects in real-time? Real-time would be a little difficult, but there definitely will be more and more on the scene updates from the group from Washington with pics on site and Chicago, PICO, the work that's being done there. So folks, you will be getting that shortly. Gentlemen, any -- sorry, Bob McWhirter is in here. He's back on. If you were to achieve the $10.75 million of EBITDA on my previous guesstimate, how much free cash flow would be produced?
Jeff Kendrick: Can you estimate that Randy?
Randy Boomhour: No, no, I don't think that's reasonable to ask us to kind of calculate a financial model based on Bob's kind of made up guesstimates. I will say this. If our EBITDA is $10-plus million, the free cash flow is going to be significant.
Grant Howard: Okay. Gentlemen, any closing comments?
End of Q&A:
Jeff Kendrick: For us, yes. I just wanted to thank everyone for supporting CEMATRIX over the years. And I'm glad that you're part of the ride and this ride is going to get very interesting over the next few months and years. And again, we wouldn't be here as a company if it wasn't for our shareholders. So, we appreciate them. Everything that you've done and been part of. And we thank our group for putting this presentation and webcast together today. Grant, thank you again for you and Jeff and your team. And we look forward to our third quarter release, which should be a very interesting one. And we'll promise to have some videos on that actual presentation as well. And plus, we'll be adding a section to our website that just has current projects and videos from them in the very near future here. So anyways, thank you, everyone. And we look forward to seeing you in another three months.
Grant Howard: And with that, we are going to wrap for today. Thank you very much to everyone.